Operator: Ladies and gentlemen, thank you for standing by, and welcome to the CVS Health First Quarter Earnings Call. [Operator Instructions] And as a reminder, this conference is being recorded today, Friday, May 1, 2015.
 And now it gives me pleasure to turn the conference over to Nancy Christal, Senior VP, Investor Relations. Please go ahead. 
Nancy Christal: Thank you, Milan. Good morning, everyone, and thanks for joining us. I'm here this morning with Larry Merlo, President and CEO, who will provide a business update; and Dave Denton, Executive Vice President and CFO, who will review our first quarter results as well as guidance for the second quarter and year. Jon Roberts, President of PBM; and Helena Foulkes, President of the Retail Business, are also with us today and will -- they'll participate in the Q&A session following our prepared remarks.
 [Operator Instructions]
 Just before this call, we posted a slide presentation on our website. The slides summarize the information you'll hear today as well as some additional facts and figures regarding our operating performance and guidance. Additionally, our Form 10-Q will be filed later this afternoon, and it will be available on our website at that time.
 Please note that, during today's presentation, we will make forward-looking statements within the meaning of the federal securities laws. By their nature, all forward-looking statements involve risks and uncertainties. Actual results may differ materially from those contemplated by the forward-looking statements for a number of reasons as described in our SEC filings, including the Risk Factors section and cautionary statement disclosures in those filings.
 During this call, we'll also use some non-GAAP financial measures when talking about our company's performance, including free cash flow and adjusted EPS. In accordance with SEC regulations, you can find the definitions of these non-GAAP items, as well as reconciliations to comparable GAAP measures, on the investor relations portion of our website.
 And as always, today's call is being simulcast on our website, and it will be archived there, following the call, for 1 year.
 And now I'll turn this over to Larry Merlo. 
Larry Merlo: Okay, thanks, Nancy. And good morning, everyone, and thanks for joining us to hear more about the strong first quarter results we posted this morning.
 Adjusted earnings per share increased 12.2% to $1.14 per share, and that's $0.05 above the high end of our guidance range. Operating profit in the retail business declined 1.3%, in line with expectations, reflecting the tougher comparison due to the tobacco exit. Operating profit in the PBM increased 14.6%, well ahead of our expectations.
 We generated approximately $1.6 billion of free cash during the quarter. And we continued to return significant value to our shareholders through our disciplined capital allocation practices. Now it's still early in the year, but given our outperformance in the first quarter, we are narrowing our adjusted EPS guidance range for 2015 to $5.08 to $5.19, and Dave will provide the details of our guidance during his financial review.
 So let me turn to the business update, and I'll start with the 2015 PBM selling season. Now the expected revenue impact for '15 has grown since our last update. Our gross new business currently stands at $7.5 billion, with net new business of $4.1 billion, and that's up about $0.5 billion on both the gross and net lines from our last update. The increase was driven primarily by the growth in membership within some health plan clients, as well as some additional wins.
 Now turning to the 2016 selling season. I would describe pricing in the industry as competitive yet rational. And to date, we've completed about 1/3 of our client renewals, which is typical at this time of the year. And while it's too early to give you specific data points for '16, I will note that the selling season is off to a good start. Our integrated model allows us to provide differentiated products and services that continue to provide savings for our clients while providing better health outcomes and convenience for our members. These unique products and services continued to resonate strongly in the market. And as we typically do, we'll provide a more quantitative update on our 2Q call in August when we have a more complete picture.
 Now our recently released Insights report highlights our efforts to manage trends for our clients. In 2014, gross trend was 12.7%, and that's up from 3.8% in 2013. Importantly, the report demonstrates that there are solutions to bend the cost curve. With brand price increases, the accelerating growth in specialty, we are finding more clients receptive to these types of solutions. Our report identifies high-performing clients, what we call our trendsetters, and the solutions that they are using to improve the cost trend. Now we shared these results with our clients at our recent Client Forum last month, and let me take a minute and give you just a couple of examples.
 Now first, formulary management solutions, our trendsetter solution. We call it the Value Formulary, and it promotes lower-cost generics and provides limited access to brands. We employ category-specific management using drug exclusions, step therapies, prior authorization and quantity limits. And with a 12.7% gross trend for our overall book of business, our clients using the Value Formulary achieved a gross trend of only 0.5%, more than 1,200 basis points better than the overall book.
 A second example is in managing specialty. Our book of business trend in specialty was 32.4%, nearly half of which can be attributed to the surge in prescribing for the new Hep C therapies. Our underlying principles for our management solutions include condition-level management, a broader approach to clinical care and a breakthrough specialty patient experience. Our trendsetter solutions for specialty include our advanced specialty formulary, Specialty Connect and Specialty Guideline Management. And you'll recall that Specialty Connect provides choice to receive a member's specialty script at CVS/pharmacy or through our mail channel while preserving the central clinical expertise that leads to better health outcomes. The trendsetter result? 23.9% specialty trend, nearly 1,000 basis points better than the overall book.
 So as I said, there are solutions, and we expect more clients to adopt these cost-management tools.
 Now speaking of specialty, our specialty revenues continued on a very strong growth trajectory in the quarter, increasing 46%, and that was driven by volume, new products, inflation and the impact of Specialty Connect. Our infusion capabilities through Coram are another significant differentiator with clients, and we're experiencing healthy growth in the business. In fact, the number of infusion patients we serviced in the quarter jumped 15.7% from the prior year, and that's after adjusting for the timing of the Coram deal close. Site-of-care management, another important component of managing costs for specialty patients, and we offer clients solutions to effectively manage these costs.
 As we previously discussed, we've been using our leading formulary strategies to effectively manage the high-cost Hep C category. And we envision employing similar tools to manage the anticipated new PCSK9 inhibitors, which are expected to enter the market later this summer. However, given the significant number of people being treated for high cholesterol that can be treated quite successfully with lower-cost statins, we envision robust prior authorization guidelines to help control costs while ensuring that the appropriate population gets access to these newer therapies.
 Before turning to retail, let me touch a minute on biosimilars. With the first biosimilar approved, this is just the beginning of a pipeline that could unlock additional savings and provide options to our clients. We expect discounts to be available, but they will likely vary by product. And for the foreseeable future, we expect biosimilars will behave more like brands than the traditional generics, and as a result, we expect to employ our formulary strategies to generate savings for our clients.
 Our retail business, it produced results that were in line with our expectations, but pharmacy same-store prescription unit volumes increased 5.1%, and that's on a 30-day equivalent basis. And we continued to gain pharmacy share. Our Retail Pharmacy market share was 21.5% in the quarter, and that's up about 50 basis points versus the same quarter a year ago.
 Pharmacy same-store sales increased 4.2% and reflect a positive impact of about 70 basis points related to the incidence of flu. Pharmacy same-store sales also include the negative impacts of about 280 basis points due to recent generic introductions; and another 190 basis points from the implementation of Specialty Connect, which as I mentioned earlier, transfers specialty scripts from our retail to our PBM segment.
 Our initiative to unlock adherence continues to make good progress. And we anticipate launching some new products later this year that will be available to both patients and their caregivers in order to help patients stay adherent to their medication.
 Turning to the front store. Our performance in the quarter was very solid, and while front store comps were down 6.1%, if you adjust for the tobacco impact, front store comps would have been up about 2%. The impact of the tobacco exit was around 800 basis points, and that's about 100 basis points less than originally anticipated. 
 We saw solid growth in our core health and beauty categories, including the strong cough-cold season. And we gained share in health and beauty in both the drug and multi-outlet markets.
 And while we experienced a decrease in front store traffic, that decrease was partially offset by an increase in the average customer basket.
 Our front store journey to position ourselves as a leading health and beauty destination continues. This year, we are launching phase 1 of our healthy foods rollout, offering customers more healthy choices in a select group of stores. Our beauty elevation program is also launching in several thousand stores. And we continue to test a multitude of changes to further enhance our front-store clustering efforts, including a number of store resets that leverage the knowledge that we're gaining from the Navarro acquisition.
 ExtraCare continues to be an important driver of profitable front store growth, as about 80% of our sales now goes through our loyalty program, providing us a longitudinal view of the customer. And we've developed new internal tools to ensure that promotional investments are driving the right economics while delivering value for our customers. And these tools have allowed us to further develop our personalization efforts. Digital and specifically mobile are also important tools in powering up our personalization reach. And just as one example, today, we know that customers using our mobile app with ExtraCare are spending 4x more than our average customer. So we're encouraged by these results and believe that there's more opportunity for further innovation.
 Our front store margins in the quarter continued to benefit from these efforts, as well as the tobacco exit. On a comparable basis to last year, including adjusting for the tobacco elimination, front store margins improved notably. And this underlying improvement in the front reflects our highly personalized promotional strategies, along with the continued growth in store brands sales. In fact, we made good progress in store brand penetration in the quarter, with store brands increasing to 20.9% of front store sales. And that's up about 330 basis points from last year, 2/3 of the improvement reflecting the removal of tobacco from our mix and 1/3 of the improvement reflecting underlying progress in our store brand penetration as we continue to make progress toward our 25% goal.
 Turning to store growth in the quarter. We opened 38 new stores, relocated 12, closed 10, resulting in 28 net new stores. And we plan to add about 150 net new stores for the full year, equating to an anticipated increase in retail square footage growth of around 2%. As for MinuteClinic, we opened 15 net new clinics in the quarter. And we ended the quarter with 986 clinics across 31 states, plus the District of Columbia. And continuing on its very strong growth trajectory, MinuteClinic's revenues increased about 21% versus the same quarter last year. And 84% of MinuteClinic visits were paid for by third parties, with MinuteClinic included in most payer networks as an accessible and cost-effective provider.
 The rollout of the Epic electronic medical record system remains on schedule. We're expected to be complete with that by mid-year. Additionally, we've now seen more than 13,000 patients, since the initiation of our TeleHealth pilots in California and Texas, with very high levels of customer satisfaction. And we're continuing to test various uses for TeleHealth and believe it can be part of a care model that improves access and lowers overall health care costs.
 Just a quick note on Red Oak Sourcing, our venture with Cardinal Health. We continue to be extremely pleased with the progress the team is making. They continue to execute very well. The expertise that Red Oak provides, along with the simplicity of the business structure, has enabled Red Oak to make great strides. They've been working with suppliers on strategies that create value for all parties and have now transitioned nearly all suppliers to Red Oak within a relatively short time frame. So we couldn't be more pleased with their performance and results.
 And with that, let me turn it over to Dave for the financial review. 
David Denton: Thank you, Larry. Good morning to everyone.
 Today, I'll provide a detailed review of our first quarter results, followed by an update on our guidance. However, before I do that and as I often do, I want to highlight the ways in which we are using our strong free cash flow to enhance shareholder value through our disciplined capital allocation program.
 During the first quarter, we paid $399 million in dividends. Our dividend payout ratio now stands at 28.7%, and we remain well on track to achieve our target of 35% by 2018. Additionally, in January, we entered into a $2 billion accelerated share repurchase program. At that time, in exchange for $2 billion, we received approximately 16.8 million shares at a price of $94.49 per share, which represented 80% of the notional amount of the ASR. The program concluded yesterday, and we expect to receive approximately 3 million shares today, making the average share price of the ASR $100.64 per share. For the full year, we still expect to complete $6 billion of share repurchases. So between dividends and share repurchases, we've returned more than $2 billion to our shareholders in the first quarter alone. And we continue to expect to return more than $7 billion for the full year, more than a 30% increase over last year's levels.
 As Larry mentioned, we generated approximately $1.6 billion of free cash in the first quarter. And we continue to expect to produce free cash of between $5.9 billion and $6.2 billion this year.
 Now turning to the income statement.
 Adjusted earnings per share from continuing operations came in at $1.14 per share, $0.05 above our guidance range and up a solid 12.2% over LY. GAAP diluted EPS was $1.07 per share. The retail segment performed within expectations, while we saw strong results from the PBM segment, which posted profit growth above the high end. The outperformance in the quarter was primarily driven by stronger-than-expected prescription volumes as well as favorable purchasing and rebate economics in the PBM segment.
 On a consolidated basis, revenues in the first quarter increased 11.1% to $36.3 billion. In the PBM segment, net revenue growth surpassed expectations as revenues increased 18.2% to $23.9 billion. This growth was driven by specialty pharmacy, as well as increased volumes in pharmacy network claims largely from the addition of new clients. Partially offsetting this growth was an increase in our generic dispensing rates, which grew approximately 150 basis points versus the same quarter of LY to 83.5%. We saw strength in the top line versus our guidance due primarily to higher-than-expected volumes, drug price inflation and mix, including the new Hep C drugs.
 In our retail business, revenues increased 2.9% in the quarter to $17 billion, at the high end of our guidance. This growth was driven primarily by solid pharmacy same-store sales growth despite the transition of specialty revenues into the PBM segment due to Specialty Connect. Higher volumes in the pharmacy were fueled by a strong flu season and an uptick in 90-day prescriptions.
 Now turning to gross margins. We reported 17% for the consolidated company in the quarter, a contraction of approximately 120 basis points compared to Q1 of '14 and again consistent with our expectations. The decline is due, in part, to a mix shift in our business, as our lower-margin PBM business is growing faster than our retail business. Within the PBM segment, gross margins declined approximately 35 basis points from Q1 of '14 to 4.3%. This was primarily driven by price compression, which was partially offset by the improvement in GDR as well as favorable purchasing and rebate economics. Despite the decline in gross margin rate, gross profit dollars were up 9.8% year-over-year given volume increases and mix.
 Gross margin in the retail segment was 31.2%, down approximately 20 basis points from LY. The continued pressure on reimbursement rates as well as the continuing mix shift towards pharmacy were partially offset by a number of positive factors. These positive factors include a 150 basis point increase in retail GDR to 84.4%, the benefit to front store margins from the tobacco exit and the increased store band -- store brand penetration. And while gross margin rates were down, gross profit dollars increased 2.1% in the quarter.
 Total operating expenses as a percent of revenues notably improved from Q1 of '14 to 11.1%. The PBM segment's SG&A rate improved by approximately 25 basis points to 1.2%, with operating expense dollars coming in a little lower than expected despite the overdelivery of revenues. As reported, SG&A as a percent of sales in the retail segment increased by approximately 20 basis points to 21%. However, the increase continues to be driven by the reduction in retail sales, which is directly related to our decision to exit the tobacco category; as well as the impact of Specialty Connect, again, shifting sales from our retail segment to the PBM. It's important to note that on a comparable basis, SG&A as a percentage of sales at retail actually improved approximately 50 basis points.
 Within the Corporate segment, expenses were essentially flat to LY at $189 million and lower than expected.
 Operating margin for the total enterprise declined approximately 35 basis points in the quarter to 5.9%. Operating margin in the PBM declined approximately 10 basis points to 3.1%, while operating margin at retail declined by approximately 45 basis points to 10.2%. As Larry noted, retail operating profit decreased 1.3% in the quarter and was within our expectations. On a comparable basis, excluding tobacco, retail operating profit increased approximately 1.7%. PBM operating profit increased 14%, greatly exceeding our expectations.
 So now going below the line of the consolidated income statement. Net interest expense in the quarter decreased approximately $24 million from LY to $134 million due primarily to lower average interest rates on our debt. Additionally, our effective tax rate was 38.9%, slightly lower than expected. The tax rate drove less than $0.01 of the EPS beat. Our weighted average share count was 1.1 billion shares, again in line with our expectations.
 So with that, now let me update you on our guidance. I'll focus on the highlights here. You can find the additional details of our guidance in the slide presentation that we posted on our website earlier this morning.
 As Larry said, given our outperformance in the first quarter, we are narrowing our 2015 EPS range by raising the bottom of the range by $0.03. While we are pleased with where we are year-to-date, it is still very early in the year. Our core business is performing well. We now expect to deliver adjusted earnings per share in '15 in the range of $5.08 to $5.19 per share, reflecting strong year-over-year growth of 13% to 15.5%, after we remove the impact in 2014 related to the loss on the early extinguishment of debt. GAAP diluted EPS from continuing operations is expected to be in the range of $4.80 to $4.91 per share.
 Consolidated net revenue growth is still expected to be 7% to 8.25%. However, we narrowed our top line outlook in the PBM. We now expect PBM revenue growth of 11.25% to 12.25%, 25 basis points higher than our prior guidance on the low end. This revised guidance reflects our expectations for stronger growth within specialty fueled by a combination of inflation and new product mix, as well as the impact of the higher net new business. We continue to expect retail revenue growth of 1.25% to 2.5% year-over-year.
 And intercompany revenue eliminations are now expected to be approximately 10.8% of segment revenues.
 Given the narrowing of the PBM's top line, as well as the favorable purchasing and rebate economics that we've seen, we are also narrowing guidance for operating profit growth in the PBM segment. We now expect PBM operating profit to increase 7.75% to 10.75% year-over-year, an increase of 100 basis points on the low end. Retail operating profit growth expectations remain in the range of 4.75% to 6.5%.
 And now as I said before, our free cash flow guidance for the year remains in the range of $5.9 billion to $6.2 billion.
 So with that, now let me provide guidance for the second quarter. We expect adjusted earnings per share to be in the range of $1.17 to $1.20 per share in the second quarter, reflecting growth of 3.25% to 6% versus Q2 of '14. GAAP diluted EPS from continuing operations is expected to be in the range of $1.10 per share to $1.13 per share in the second quarter. Within the retail segment, we expect revenues to increase 0.5% to 2% versus the second quarter of LY. Adjusted script comps are expected to increase in the range of 4.25% to 5.25%, while we expect total same-store sales to be down 1.25% to up 0.25%.
 The impact of the move of specialty scripts to the PBM via Specialty Connect will be very muted this quarter given that we began this shift in May of last year. Additionally, recall that we expect the tobacco exit to have approximately 800 basis points negative impact on front store comps in the second quarter.
 In the PBM, we expect second quarter revenue growth of between 11.25% and 12.5%, driven by continued strong growth in specialty and volumes. We expect retail operating profit to decrease 2% to 4% and PBM operating profit to increase 5% to 9% in the second quarter. Keep in mind that margins in last year's second quarter benefited from the finalization of California's Medicaid reimbursement rates. Recall that this finalization of the benefits benefited retail gross margins by $53 million in the quarter and PBM gross margins by $16 million in the quarter. After removing the impact of that from last year's results, operating profit growth in the PBM would be approximately 200 basis points higher. And on a comparable basis, excluding the California Medicaid impact from last year's results, as well as tobacco, retail operating profit growth will be approximately 490 basis points higher.
 And again, starting with Analyst Day, over the past several months, we've been highlighting several timing factors that affect the cadence of profit delivery throughout this year. The timing of break-open generics, our tobacco exits and the investments that we've made in the PBM's welcome seasons were the factors expected to impact our cadence the most. And while we delivered a very strong first quarter, the cadence of profit growth is still expected to be back-half weighted. All things considered, we expect a strong back half of the year. 
 So in closing, let me leave you with 3 key thoughts. First, we posted solid comparable growth this quarter, and we're off to a very good start for the year. Second, our 2015 outlook for both businesses, as well as the enterprise overall, is strong, and we continue to benefit from the unique solutions we are delivering to the marketplace. And finally, we expect to continue to generate significant free cash, and we are committed to use this capability to maximize the value we return to our shareholders through a disciplined capital allocation program.
 And so with that, let me turn it back over to Larry. 
Larry Merlo: Okay, thanks, Dave.
 And again, we are very pleased with our solid start to the year; and our strong, competitive position. And our distinctive channel-agnostic solutions are resonating strongly in the marketplace.
 Before we open it up for your questions, just a couple comments that we've all witnessed the unfortunate events unfold in Baltimore over the past several days. And I think, as you know, we operate countless stores in major cities and urban centers all across the country, and despite these acts of violence, we remain committed to these markets. We look forward to working together with community and business leaders in the rebuilding process. And I want to take a minute and pay a special thanks to our colleagues who have worked tirelessly this past week to ensure that Baltimore residents continue to have access, in need of medications and prescriptions. I think we're -- all of us are very proud of the job that they've been doing in a very difficult environment.
 So with that, let's go ahead and open it up for your questions. 
Operator: [Operator Instructions] And our first question comes from the line of George Hill, Deutsche Bank. 
George Hill: I guess where I would start off first is that the cost-containment in SG&A in PBM has been pretty impressive, and the cost cuts are pretty good. How much room should we think is left there to do considering the growth in the higher-touch specialty medications? And I guess, how should we think about how much lower SG&A can go? 
Larry Merlo: Look, George, I'll start, and I think Jon will jump in as well. But keep in mind that we had embarked upon a pretty sizable initiative as part of our platform consolidation that was targeted to deliver well over $200 million in annual SG&A savings. And we have largely completed that initiative, and obviously, we're always looking to be more efficient and identify opportunities. And I'll let Jon pick up from there. 
Jonathan Roberts: Yes, George. So the way we're thinking about our cost structure in the PBM is continuous improvement. So how can we leverage automation, technology; streamline processes to make those processes more predictable and deliver them faster and at a lower cost. I think specialty is an opportunity as we look forward. PCSK9s are coming to the market. They're going to be lower cost than typical for the average specialty drugs in the market today. So we're actually looking at a delivery in a more efficient way than generally specialty, which is higher touch, higher cost than what we see in mail. So it's we're continuing to focus on it and we make progress every year. 
George Hill: Okay, that's helpful. And maybe a couple quick housekeeping items. Larry, did you say -- that $4.1 billion, that was net wins for 1/1/16 starts? 
Larry Merlo: No, that was for '15, George. That was a true-up of the '15 selling season. And as I mentioned, it's up about $0.5 billion from our update on our Fourth Quarter Call. And there were some late new wins that got added to '15 and probably, for the most part, mid-year introductions. 
George Hill: Okay, I wrote that down wrong. And then the adjustment for the California Medicaid comp, that was combined retail-PBM, or just the retail side? 
David Denton: On the retail side, between California and tobacco is about 490 basis points just in retail. There's about 200 basis points as it relates specifically to the PBM in the quarter of operating profit. 
Jonathan Roberts: Yes. 
Operator: And our next question comes from the line of Edward Kelly, Crédit Suisse. 
Edward Kelly: I wanted to ask a question actually about the PBM and EBIT growth. I mean you actually -- you meaningfully exceeded your guidance this quarter. Could you maybe just talk a little bit more about the drivers outside there relative to your expectation? And then just a question on the outlook because you only raised the low end of the outlook in the PBM, as well as for the company, in terms of EPS. Is that just conservatism? Is there something else that we should think -- be thinking about there? 
David Denton: Yes, Ed, this is Dave. Maybe I'll touch upon that. As you know, we obviously had a very solid -- we're off to a very solid start to the year, quite frankly, in both businesses and certainly within the PBM versus our expectations. Just a couple things: Obviously, volumes in the PBM continued to be strong, and we continue to be pleased with that. Secondly, we've worked hard both from a cost of goods sold perspective and some of the buy-side economics, as well as the rebate yield has been productive for us. And as you know, a vast majority go back to our clients in the form of lower cost into their pharmacy benefit. And we see -- and so that's really produced the over-delivery in the first quarter. As we look through the balance of the year, it is very early. We've gone through a quarter. We've had a great quarter. I think our core businesses are performing well and nicely. I think there's -- as you know, we have a philosophy of looking through the full year. We're still focused on delivering a very solid year. Continually, there tends to be shifts in the marketplace as it relates to timing of certain aspects of our business, primarily the introduction of generics, and so we'll continue to monitor that as time goes on. 
Edward Kelly: Okay, great. And just one quick, one follow-up. You did mention reimbursement rate pressure in the release this quarter. I don't think you typically put it in there. Is there something new or different or more intensive about that? Or is it we're just reading too much into that? 
David Denton: Ed, this is Dave. We continually talk about that, so there's nothing new or unique about that at this point in time. 
Operator: And our next question comes from the line of John Heinbockel, Guggenheim Investments. 
John Heinbockel: So Larry, a strategic question. Obviously, you have the financial wherewithal to do a lot of things, but when you think about footprint in the U.S. versus where you are globally, is there a priority of you'd like to fill in? And I'm thinking different kinds of businesses but fill in, in the U.S., as opposed to accelerate the global footprint. Or are they of equal priority? 
Larry Merlo: Look, John, I think, as you know, we've talked a lot about we feel very good about the opportunities that we still have here domestically. And we've been talking about that for the last couple of years, and we continue to feel good about it. And as you think about international, as -- again as we've alluded to in the past, we wanted to understand and build some, I'd describe it as, muscle in terms of what it takes in terms of being successful as a global operator. And that's what led to the Brazil decision. And we've been at it about 2 years now. We've gotten some very good learnings. And I think it's --  any next step there would be pursued with the same financial discipline that I think we've demonstrated in the past. 
John Heinbockel: And just going back to the PBM EBIT issue. Most of the time, right, in the last 2.5 years, you have exceeded expectations. There's been the rare quarter where you haven't. You've been in-line but have exceeded pretty significantly, and that sort of dovetailed with volume. Is it really sort of that simple that, if you can beat on the volume side, you'll handily beat on the bottom line? And does that speak to, I guess, the -- right, the incremental flow-through margin is simply that high? 
David Denton: John, this is Dave. I don't know that, that's exactly true. But within -- as you know, within the PBM business, obviously, volume certainly helps, but there's a lot of factors that drive profitability in that business. And I'll just take a good example: Medicare Part D within our insurance company, additional volumes in some categories there actually hurt the profitability from an insurance perspective. So there's a lot of different levers there. I'll just conclude with saying that we've had a great first quarter, and I think our outlook for the year remains extremely strong within the PBM and, quite frankly, within retail. 
Operator: Our next question comes from the line of David Larsen, Leerink. 
David Larsen: Can you just talk about the 2016 and 2017 selling seasons? Where are you? Is -- the 2016 selling season, are you largely through it? Have most health plans made most of their decisions? And what are they looking for this year that's maybe new relative to last year? 
Larry Merlo: Well, Dave, it's Larry. I'll go ahead and start, and then I'm sure others will jump in. But Dave, I think we've mentioned this in the past that, if I start with our renewals, we've said that this '16 renewal season was typical, recognizing we didn't have a -- the big FEP contract. We said it was around $14 billion to $16 billion and that, as I mentioned in our prepared remarks, we're about 1/3 of the way through the renewal process, which is typical at this time of the year. I would say the selling season again has gotten off to a solid start. We're seeing RFP activity pretty similar to what it was last year, which was a big increase over the prior year, recognizing the -- 2 years ago, there was -- I think there was kind of a lockdown as people were preparing for all the administrative responsibilities of the Affordable Care Act. So we certainly have a long way to go in the '16 selling season. And we'll have a lot more to talk about on the Second Quarter Call. 
Jonathan Roberts: And David, just to build on what Larry has said. This is Jon. We're through most of the health plan, large health plan, opportunities, probably halfway through the large employer opportunities, and then you move into the balance of the market. And as far as what people are looking for, they're obviously looking for us to be competitive on price. And we have to be delivering good service to our members and clients. So the fact that we've had 2 very successful welcome seasons has helped us from a service reputational standpoint, and obviously we continue to be competitive yet rational on price. And then you add to that all the things that we can do that are unique to our model that, quite frankly, is -- supports our clients with where health care is going: the fact that we've integrated assets and can deliver capabilities like Maintenance Choice, Specialty Connect, MinuteClinic; our leadership position in specialty, so our ability to manage specialty spend not only under the pharmacy benefit and the medical benefit, and this is, as we've talked about, a very fast-growing part of the overall spend; and then third, our leadership in consultative services and Medicare Part D. So yes, as I'm out talking to clients, they're looking for somebody that they know can deliver great service, deliver savings. And then all these unique offerings we bring, I think, has really had a lot to do with our success. 2017, we're beginning to see some activity in 2017, again, large health plans, but I'd say we're very, very early with any '17 opportunities. 
Larry Merlo: And David, it's --  I'll just emphasize one other point. We had our Client Forum back in April. We had record attendance. There was an extremely high level of engagement, recognizing, as I mentioned, clients have seen cost trend go from around 4% to double digits. So we have -- to Jon's point, we have solutions for them. And there was an awful lot of engagement and education and understanding in terms of what that can specifically mean for their respective business. So there's certainly a lot of follow-up work from the Client Forum, but I think we feel very good about the tools and products and services that can be an important part of the solution for our clients. 
Operator: And our next question comes from the line of Meredith Adler, Barclays. 
Meredith Adler: I was wondering if there's any update you can give us on whether -- Specialty Connect has led to an increase in volume. Are people responding? I know you're talking about everybody -- that customers liking everything you're doing, but can you identify anything specific from Specialty Connect? 
Larry Merlo: Well, Meredith, if you look at our specialty revenues, we are growing faster than the market even after adjusting for Coram. So we believe Specialty Connect is delivering additional share, and it is outperforming our initial expectations. And we already have more than 50,000 patients that -- new patients that are utilizing the Specialty Connect product. 
Meredith Adler: Great. And then I was just wondering if you could talk about what benefits, so far, if you've seen anything, from eliminating tobacco. Have you seen a meaningful change in either the partnerships or the dialogue you're having with physician and hospital groups? 
Larry Merlo: Well, Meredith, the answer to that is yes. I mean it's I've sat in some of those meetings where we're talking about things that we can do. And then historically, the question would come up about, "But you guys sell tobacco products, don't you?" and it literally deflects all the energy out of the room. So I think it's reflected in the fact that, since the announcement just over a year ago now, we've been able to accelerate the partnerships that have been established with leading health systems across the country. And I think we're approaching 60 of those affiliations. And while it's a category of one at this point and it did get some publicity, we've talked about pharmacy networks migrating to more performance-based networks. And we had one particular client, City of Philadelphia, that decided to, as a nucleus of that performance network, tie it around pharmacy providers that do not sell tobacco products. So I think we see some tangible benefits that they're probably more qualitative than quantitative at this point in time, but I think we all believe that it will lead to further differentiation of our business model as we go forward. 
Operator: And the next question comes from the line of Priya Ohri-Gupta with Barclays. 
Priya Ohri-Gupta: Dave, you guys have been pretty clear about your lease-adjusted leverage target. And you continue to have some capacity in the balance sheet to manage towards that, but can you just remind us about sort of how much flexibility you might have around moderating some of your future share repurchase activity; were you to engage in some sort of strategic activity, that might temporarily take you above that leverage target in order to maintain your current rating? 
David Denton: Yes, that's a great question. We, as you know, have been very focused on our leverage target at 2.7x adjusted debt-to-EBITDA. We currently have been cycling a bit below that target, but we have additional capacity as we sit here today. We, as you know, have -- continue to have many dialogues with the rating agencies. We're very focused on maintaining our BBB rating status. We do think we have flexibility over time to move our leverage target if strategically it made sense to be a tad over that, as long as we commit to get ourselves back down to that level. We've been very focused over time to make sure that our balance sheet maintained its leverage target at 2.7x, and we work aggressively to get there. We think it's important that we've maintain that rating. 
Operator: And the next question comes from the line of Lisa Gill, JPMorgan. 
Lisa Gill: I just wanted to follow up on a couple of things. First, you had talked about -- earlier, Larry, about the formulary management and the trend there. Can you or Jon just give us any indication as to the penetration that you have currently with your client base around these kinds of programs just to get an idea of how much future opportunity there is? 
Larry Merlo: Yes, Lisa, it's a great question. And today, we've got about -- probably about half of our book that is in our formulary program. Now at the same time, there are -- and by the way, that's largely in the employer space. There are health plans that adopt components of the formulary program. So I think there is certainly white space for that to grow. And I think -- as our program continues to evolve and further develop and drive additional savings, I think that there will -- there is already additional dialogue on those programs. 
Jonathan Roberts: And then Lisa, this is Jon. Larry talked about our trends for 2014 at 12.7%. About 60% of that trend is really driven by branded inflation. And the best way for our clients to manage overall trend of branded inflation is through formulary. So we believe the marketplace is going to get much more aggressive. Our clients are going to get much more aggressive in adopting even more aggressive formulary strategies beyond what they already have. And so it's probably the best way to manage their benefits. 
Lisa Gill: And so would you expect that uptick as we go into '16? I know I saw Jon recently. We talked about your Client Forum and people really focused on where costs are going and what we're seeing as far as price increases go from the manufacturers. So should we see some kind of inflection in '16 if you're having the conversations today? Or is it you think it's going to be a several-year playout around increase in penetration? 
Jonathan Roberts: Yes, I mean, Lisa, that's a good question. Yes, as Larry said, our employers, which is half our book of business, the vast majority of those, 80% of those, have adopted our template formulary strategy that we introduced back in 2012. So we -- they've actually taken a big step forward. And then there are other opportunities for them to even get more aggressive. With health plans, the majority of our health plans have adopted our Med D formulary strategies, which again are very tightly controlled. So the market, I think, is primed. And I think, coming off this double-digit trend year of 2014, I have never seen people more open to understanding what opportunities they have to manage this. And as I said, formulary is going to be a big part of that. So we're talking to people now. I think we'll see -- I do think it's going to take a few years to play out, just like everything in our space, so I don't know that there's going to be a single inflection point. But I do very strongly believe that this is going to be a significant lever for our clients to manage this trend.. 
Lisa Gill: And if I can just understand, Dave, on the -- if you think about you held out rebates in the first quarter, if I remember correctly, it's usually on a lag. So should we expect rebates to get better as we move throughout the year based on the programs that Jon is talking about? Just trying to figure out the timing. So the rebates that we found in the first quarter, was that primarily from things you initiated in the back half of '15? And is that part of the driver for the back half results? And then I'll stop there. 
David Denton: Yes, Lisa, it's a great question. I'm not going to get into too much detail there. I would just tell you that, as we think about the long-term view of our business, we've been very focused on, from a buy-side economics perspective, what can we do to further reduce the cost to our clients and think about that as our procurement efforts around generics; and then secondly, how do we reduce costs and continue to control costs in the branded category. And that continues to be a focus from a rebates perspective in the formulary management. Now I expect those to be continued, to be drivers for this business at some level in the longer term. 
Operator: And the next question comes from the line of Robert Jones, Goldman Sachs. 
Robert Jones: I guess, maybe just move over to the retail side, Dave. And I know you walked through the retail gross margin pushes and pulls in your prepared remarks, so I wanted to make sure I understood the dynamics in the quarter, especially relative to your full year guidance for this margin to be flat. So I know tobacco would have been a good guy year-over-year for the margin, so I was hoping you could maybe just walk through again what weighed on the margin in the quarter. Was there anything abnormal with pharmacy reimbursement, promotional activity? Just looking for a little more insight there. 
David Denton: No, I don't think there's anything that's really unique in the quarter from that perspective. I -- as we've said many times, it's that the cadence of profit delivery will be back-half weighted versus front-half weighted. And most of that ties to obviously the tobacco exit and how we overlap that; the California Medicaid comparison in Q2 of '14; but probably more importantly, the delivery of break-open generics and the timing of that driven really more back-half weighted versus front-half weighted. 
Robert Jones: Okay. And then just one more on the timing technical side. I was wondering if there was anything between 1Q and 2Q that may be pulled 1Q up, as far as the timing around EPS. I mean I know the foreset [ph] headwind from the California Medicaid reimbursement benefit a year ago will make 2Q a little bit worse off, but anything else that we should be aware of, as far as just timing between 1Q and 2Q? 
David Denton: No. I don't think there's anything that's really of material nature there. 
Operator: And our next question comes from the line of Scott Mushkin, Wolfe Research. 
Scott Mushkin: So I wanted to follow up a little bit on John Heinbockel's question on but a little bit different take on it, not necessarily acquisitions but kind of looking internally. Larry, when you look at opportunities in front of you with your current assets, where do you think there is the biggest potential to kind of improve what you're already doing? I mean, obviously, the business is humming along, but where do you see some of the levers to get things even better? 
Larry Merlo: Well, Scott, we're always looking to do better, whether it's to be more efficient with our business and in terms of attempting to deliver high levels of service at the lowest possible cost. And we're always focused on opportunities there. And we continue to be focused on share growth opportunities. We've -- and I think we've gotten some tractions in terms of some of the things that we've been able to do through our partnerships, whether it's with health plans or other providers. Obviously, there's a lot that we can do when we happen to be the PBM, but those opportunities are not limited to employers or health plans where we have to be the PBM. And we've gotten some traction there. 
David Denton: Scott, this is Dave. What -- we've talked and we've been talking a lot on the call about the PBM and some of the growth engines and around pharmacy. Maybe we'll just spend a minute and ask Helena to talk a bit about what we're doing to drive growth in the front of our business, the retail business. 
Helena Foulkes: Yes. I think that one of the things that I'm encouraged by, and it goes back to Meredith's question as well, is since we announced our exit of tobacco, I think the marketplace is seeing a real focus that we have around driving health and beauty. And we talked about this at Analyst Day in December, about the journey that we're on to really reposition ourselves as a leading health and beauty destination. So when we met in December, we talked about 5 key themes as part of that growth. One was better health made easy; elevating beauty; our customer-driven personalization; myCVS store; and digital innovation. And I'm really pleased we're making a lot of progress on each of these areas. Just a couple examples: This year, we're launching phase 1 of our healthy food rollout. We've got expanded fresh offerings and healthy snacks. We've -- also have a beauty elevation program, which is launching across several thousand stores this year. And really, there we're in the process of repositioning CVS as the leader in beauty. We've always had a leading market share, but we are really sort of doubling down on the in-store experience and differentiating for our customers. We talk a lot about personalization. Larry mentioned it in his speech, but I think there's even more opportunity there to grow share and be more relevant for consumers and ultimately drive traffic and profitable sales. And then we have a focus this year. We're resetting 500 stores with something we call, take high higher, and these take several of these elements together. We have expanded beauty. We've got this healthy food set. And so this really starts to take the old photo department out and put in healthy food and give customers a very different feel. Those stores are performing well. We've also, within this myCVS store piece, really been looking at different clusters. And I think the thing that we're very excited about is the Hispanic-dominant cluster. We're starting to learn from our Navarro experience. And we've actually started to reset some CVS stores to take up learnings into place. And then we continue to invest in digital and in innovation; see a lot of opportunities, as Larry mentioned, there to drive adoption and have people using both our stores and digital assets. So a lot of things happening that we really haven't talked about so much since December Analyst Day, but I think I'm really proud of the team. I think both the merchants and the operators have a every strong focus on how we want to be unique and different and really own health and beauty. 
Operator: And the next question comes from the line of Steven Valiquette, UBS. 
Steven Valiquette: So I guess, just for me, the -- obviously, the 46% revenue growth in 1Q in specialty is pretty impressive. How do you think that stacks up versus your estimation of industry growth in specialty pharmacy in early 2015? And also, beyond Hep C, are there any other therapeutic categories worth mentioning that were growth drivers? 
Larry Merlo: Well, Steve, we actually see it outperforming the market growth and, I think, as I mentioned earlier with one of the questions, even after adjusting for Coram, acknowledging that Coram was not comparable for the full quarter. I think we closed towards the end of January. So we're pleased with the results that we're seeing. And some of it is coming from new customer growth. Some of it is coming from our unique products. And I'll ask Jon to comment on therapeutic classes. 
Jonathan Roberts: Yes. What we have seen over the last 3 years is over 100 new indications for existing specialty drugs, so we're seeing growth really across all categories. Obviously, Hep C is the poster child for growth, but we're seeing growth in RA and oncology, as an example. And the other factor is, as the populations gets older, the older population uses 6x as many specialty drugs as the balance of the population. So we're just seeing really tremendous growth across the entire spectrum of specialty. And that's going to be fueled even further by new drug introductions, 88 new drugs over the last 3 years. We're going to see the PCSK9s be introduced later this year. While we think that's going to be a slow ramp, we think 1 in 4 people that are on statins today could be candidates for these new therapies that are, quite frankly, more expensive than the generic statins that are available today. So we really view specialty as a growth driver as we look forward. 
David Denton: And Steve, I'll just conclude this question a bit with just maybe just a data point. As you said, specialty in the first quarter grew by about 40%, 46%. It's not just Hep C. If you back, if you take away Hep C and you look at our underlying growth in specialty, it's in the mid-30s. So we continue to perform well at the core in this business. 
Steven Valiquette: Okay, that's helpful. The one quick tie-in to this: I forgot if you disclosed this at the Analyst Day or not, but the -- within the PBM, I forgot, are you disclosing just a rough range of what percent of the total PBM sales that you'd categorize as specialty? I'm guessing it's somewhere maybe in the 20% to 25% range, but is that just a good approximation? 
David Denton: So there is a chart in Jon Roberts' presentation or -- and/or Alan Lotvin's presentation that shows that number, last year's number, which I believe is around... 
Jonathan Roberts: $31 billion, Dave. 
David Denton: $31 billion and will be moving to $37 billion, was our expectations for this year. 
Larry Merlo: And just to add on to that because those are a couple of important slides. We talked about the addressable specialty market. We described it as excluding infused oncology. And I think, in '14, we estimated that market at $86 billion growing to more than $150 billion by 2018, so we see a lot of opportunity for growth even without including the oncology space. 
Operator: And our next question comes from the line of Ricky Goldwasser, Morgan Stanley. 
Ricky Goldwasser: I have 2 follow-up questions here. First of all, about the membership growth, the script growth, obviously, very strong claim growth. What percent of the growth is coming from your PBM members? 
Larry Merlo: Ricky, are you talking about on the retail side? 
Ricky Goldwasser: No. I'm talking about pharmacy network claims. 
Larry Merlo: Yes, Ricky, maybe we're not following the question because we would -- that's why we're not seeing... 
Ricky Goldwasser: I think that, in the past, you -- kind of like you gave some details on Caremark membership accounting for 34%, 35% of your pharmacy scripts. 
Unknown Executive: Yes. 
Ricky Goldwasser: So when you think about kind of like the growth that you've seen year-over-year, obviously, it's pretty impressive. What percent of it is coming from kind of like your PBM client? Just trying to assess kind of like the share gain that was in Caremark versus the rest of the market. 
David Denton: Yes, we kind of report that on an annual basis because we monitor and we report on the annual basis. Because when we win a client, typically we then -- the work begins in the sense of understanding how to help that client become more productive and manage their costs better. And part of that might be narrowing -- or introducing a product and/or narrowing that network into one of our channels. And so that kind of grows over time. So we've chosen to do that on an annual basis because of that. I will say, just from a Caremark perspective, one thing that we do disclose, and you can see it in the press release and you'll also see it in the Q later day today, is that we do talk about the -- just the network claims volumes that we process on a quarterly basis. And so you can see that kind of within those releases. 
Larry Merlo: And Ricky, we had shown in the past that if you looked at on the retail side of the business, if you looked at the script growth and the share growth, about half of it was coming from the Caremark book of business, and the balance from the rest of the marketplace. 
Ricky Goldwasser: Okay, that's very helpful. And then one follow-up on the specialty side. When you think about kind of like your membership, what percent of your PBM clients manage their specialty spend through you, and what percent carving out? Just to kind of like understand the opportunity there in terms of penetration. 
Larry Merlo: Yes, Ricky, it's about -- today, it's about 60%. 
Ricky Goldwasser: Okay. And that's 60% of the employers, or 60% of the total? 
Unknown Executive: Total... 
Larry Merlo: Of the total. 
Operator: And our next question comes from the line of Mark Wiltamuth of Jefferies. 
Mark Wiltamuth: I wanted to dig in a little bit on the generic drug margin swings factors you see over the next couple years. And maybe if you could let us know how you feel relative to your December analyst pronouncements. Because it seems like Nexium launched earlier than you expected, and I'm curious where you stand on ABILIFY and just in general how you're feeling about the break-open pipeline. 
David Denton: Mark, it's Dave. I think, obviously, as we discussed a little bit earlier, as you know, the generic launch dates continue to obviously move around a little bit. I'll just characterize this. It's not a matter of if these drugs are going to be productive for us from a break-open status. It's just more an issue of when they become productive for us from a generic -- a break-open status. Our main thesis -- as we talked about kind of the 3 categories of drugs, be it branded drugs, limited-supply generics and break-open generics, our thesis for over the long term continues to hold as you increase both savings to customers and clients when you move down that spectrum but also increase profitably to us as you move down that spectrum. 
Mark Wiltamuth: Okay. And just on generics, maybe give us an update on Red Oak. You said you transferred the sourcing over to Red Oak. And where do you stand on, I guess, achieving cost savings there? 
David Denton: That's a great question. We have transitioned all of that into Red Oak. They -- we now have virtually all of our generic manufacturers on our program. And we continue to be very excited about where we are but also the opportunity over time to continue to derive value from that program. And kind of beyond that, we don't disclose much more than that from a buy-side's perspective. 
Larry Merlo: And Mark, I'll just reiterate. We've talked about this, the 3 ways in which value is extracted from Red Oak. One is the fixed payment schedule from Cardinal, which began in Q4 last year. The second ability is through some established achievement of milestones that have been established between the 2 parents. And then the third is just further reductions in our overall cost of products. So -- and as Dave mentioned, we've kind of -- we've framed it up under that umbrella, but we haven't gotten more granular. 
Mark Wiltamuth: And on that third point on the achieving of the actual cost savings, is that something that ramps over, like, a 2- to 3-year period? Or does it happen pretty quickly? 
Larry Merlo: Well, Mark, you're never done, okay, in terms of how to make the supply chain more efficient. So I think it's something that will be ongoing. 
Operator: And our final question comes from the line of Ross Muken, Evercore. 
Ross Muken: So I'm going to ask a big picture question, to close. So Larry, lots going on in your industry. So one of your competitors is attempting to mimic your model at a smaller scale. Another one of your competitors is moving more in the direction of retail and beauty. One of your PBM competitors was acquired. Another is declaring its independence. As you think about CVS' positioning and strategy and how you continue to evolve the model, what are the things you're kind of looking for as the industry changes to kind of give you further confirmation that the share gains you've enjoyed are sort of sustainable and that you have all the assets and the pieces you need to kind of continue to do what you've done, which is put up tremendous results for many years here? 
Larry Merlo: Ross, you did a really good job of summarizing the marketplace, but I mean, so we have always believed that the integrated PBM retail model, we think, is the optimal model. And I think that gets further highlighted by the fact that we're entering an era of, we've been describing as, the retail-ization of health care. Others are talking about it in terms of an era of consumer-directed health care. And you think about our model. It's really the only one that has deep connections and expertise in dealing with both payers of health care as well as consumers of health care. And we've talked about, and we've reiterated it on the call today, all the different ways in which we can help solve this cost-quality-access conundrum that our health care system faces, so -- and I think, as I mentioned earlier, we believe that we're in a great place. And at the same time, we're always looking for ways that we can be more efficient and speak to payers and customers in a more surround-sound fashion. And I think we see opportunities domestically to continue to do that.
 Okay, thanks, everyone, for your ongoing interest in CVS. And as always, if you have any follow-up questions, you can reach Nancy. 
Operator: Ladies and gentlemen, this concludes the conference for today. We thank you for your participation. Have a great rest of the day, everyone.